Operator: Good day, and welcome to the Smith Micro Second Quarter 2025 Earnings Conference Call. [Operator Instructions] please note this event is being recorded. I would now like to turn the conference over to Charles Messman, Vice President, Marketing. Please go ahead.
Charles B. Messman: Thank you, operator, and good afternoon to everyone. We appreciate your interest in joining the Smith Micro Software Financial Results for the Second Quarter ended June 30, 2025, Conference Call. By now, you should have received a copy of our press release with financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our website at www.smithmicro.com. On today's call, we have Bill Smith, our Chairman of the Board, President and Chief Executive Officer; and Tim Huffmyer, our Chief Operating Officer and Chief Financial Officer. Please note that some of the information you will hear during today's discussion consist of forward-looking statements, including, without limitation, those regarding the company's future revenue and profitability, our plans and expectations, new product development and availability, new and expanded market opportunities, future product deployments, growth by new and existing customers, operating expenses and the company's cash reserves. Forward-looking statements involve risks and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by our forward-looking statements. For more information, please refer to the risk factors included in our most recently filed Form 10-K. Smith Micro assumes no obligation to update any forward-looking statements, which speaks to management's beliefs and assumptions only as of the date they are made. I'd like to point out that in forthcoming prepared remarks, we will refer to specific non-GAAP financial measures. Please refer to our press release disseminated earlier today for a reconciliation of these non-GAAP financial measures. With that said, I'll turn the call over to Bill. Bill?
William W. Smith: Thanks, Charlie. Good afternoon, and thank you for joining us today for our second quarter 2025 conference call. We appreciate your interest. Before I update everyone on the progress made during the second quarter, let's start by welcoming Tim Huffmyer back to Smith Micro. Previously CFO at Smith Micro from June 2017 through September of 2021. Tim returns in the dual role of Chief Operating Officer and Chief Financial Officer. I am, along with the rest of the company, very excited to have him back helping us build a growth story for Smith Micro. Sales activities are proceeding at a brisk pace. We are actively in discussions on several fronts, both in North America and Europe. The reception we are getting to the SafePath Kids phone and SafePath Senior phone powered by SafePath OS and now the AI-enabled SafePath 8 has brought additional momentum to our carrier discussions. Our solutions and go-to-market approach continue to align closely with the strategic priorities of our existing partners and new prospects, strengthening our position in the market. As we will discuss during the call, I believe that our future is bright, and we are on the cusp of a meaningful turnaround. My wife and I continue to be proud long-term shareholders of the company. We invested significantly last year in support of the company's vision and look forward to the opportunity to make further investments in the future as the company makes progress towards that turnaround. Now let's turn the call over to Tim for a deeper dive into our financials. I'll follow up with more updates later in the call. Tim?
Timothy C. Huffmyer: Thanks a lot, Bill, and good afternoon, everyone. I'm excited to have returned and be working again with the Smith Micro team. We have many exciting work streams, and I can't wait to see what we accomplish over the next few quarters. Let me start by covering a few transactions since our last earnings conference call. First, on June 3, we sold the ViewSpot product line for $1.3 million. This sale allows us to further focus our management and technical resources on the SafePath platform and monetize the asset one final time. We did retain a limited royalty-free license to this product for our internal use. Next, on July 18, we closed a follow-on offering of approximately 1.6 million shares at a price of $0.93 per share, resulting in proceeds of approximately $1.5 million prior to fees and expenses. Now let's cover the financial results of the second quarter of 2025. For the second quarter, we posted revenue of $4.4 million compared to $5.1 million for the same quarter of 2024, a decrease of 14%. When compared to the first quarter of 2025, revenue decreased by $201,000 or 4%. Year-to-date revenue through June 30, 2025, were $9 million versus $10.9 million through the second quarter of last year, a decrease of 17%. During the second quarter of 2025, Family Safety revenue was $3.6 million, which decreased by $595,000 or 14% compared to the second quarter of the prior year. Family Safety revenues decreased by $162,000 or 4% compared to the first quarter of 2025, primarily driven by the decline in the legacy Sprint Safe & Found revenue. During the second quarter of 2025, CommSuite revenue was $777,000, which increased by $246,000 compared to the second quarter of 2024. Revenue from CommSuite increased by $43,000 compared to the first quarter of 2025. ViewSpot revenue was nominal for the second quarter of 2025, which declined by $371,000 compared to the second quarter of the prior year. ViewSpot revenue decreased by $82,000 compared to the first quarter of 2025. As previously mentioned, we sold our ViewSpot product for $1.3 million on June 3. And as such, other than transition services fees, we will have no future revenue from this product. In the third quarter of 2025, we are expecting consolidated revenues to be in the range of approximately $4.5 million to $4.8 million. This guidance includes revenue related to the launch of a new feature at an existing carrier customer. Although a modest increase over the second quarter, we do expect this launch to result in sequential quarterly revenue growth in the fourth quarter, too. For the second quarter of 2025, gross profit was $3.2 million compared to $3.5 million during the same period of the prior year, a decrease of $284,000, primarily due to the period-over-period revenue decline. Gross margin was 74% for the quarter compared to 69% realized in the second quarter of 2024. The gross profit of $3.2 million in the second quarter of 2025 decreased sequentially by $114,000 compared to the gross profit produced in the first quarter of 2025, driven primarily by the sequential decline in revenue quarter-over-quarter. In the third quarter of 2025, we expect gross margins to be in the range of 72% to 75% -- for the year-to-date period ended June 30, 2025, gross profit was $6.6 million compared to $7.3 million during the corresponding period last year. Gross margin was 73% for the June 30, 2025, year-to-date period. GAAP operating expenses for the second quarter of 2025 were $18.2 million, an increase of $7.7 million or 73% compared to the second quarter of 2024. This was primarily driven by an $11.1 million goodwill impairment charge, offset by the gain on the sale of ViewSpot for $1.3 million, and the remainder of the difference was a result of the effect of cost reduction activities. GAAP operating expenses for the year-to-date period ended June 30, 2025, were $26.8 million compared to $45.8 million in the prior year-to-date period, a decrease of $19 million compared to last year. This period-over-period decrease was primarily attributable to the goodwill impairment charge of $24 million recorded in the first quarter of 2024 as compared to the goodwill impairment charge of $11.1 million in the second quarter of 2025, coupled with the gain on the sale of ViewSpot for $1.3 million, the cost reduction activities that we have executed, along with a decrease in amortization costs associated with our intangible assets. Non-GAAP operating expenses for the second quarter of 2025 were $5.9 million compared to $7.5 million in the second quarter of 2024, a decrease of approximately $1.6 million or 22% Sequentially, non-GAAP operating expenses decreased by $222,000 or 4% from the first quarter of 2025. We anticipate a modest decline in non-GAAP operating expenses in the third quarter of 2025 as compared to the second quarter of 2025. We will continue to evaluate our existing cost structure compared to the expected revenues in the next several quarters. Non-GAAP operating expenses for the year-to-date period through June 30, 2025, were $12.1 million compared to $15.6 million for the year-to-date period ended June 30, 2024, a decrease of approximately $3.6 million or 23% compared to last year. The GAAP net loss for the second quarter of 2025 was $15.1 million or $0.78 loss per share compared to a GAAP net loss of $6.9 million or $0.66 loss per share in the second quarter of 2024. GAAP net loss for the 6 months ended June 30, 2025, was $20.2 million or $1.08 loss per share compared to GAAP net loss of $37.9 million or $3.79 loss per share for the 6 months ended June 30, 2024. The non-GAAP net loss for the second quarter of 2025 was $2.8 million or $0.14 loss per share compared to a non-GAAP net loss of approximately $4 million or a $0.38 loss per share in the second quarter of 2024. Non-GAAP net loss for the 6 months ended June 30, 2025, was $5.6 million or $0.30 loss per share compared to non-GAAP net loss of $8.2 million or $0.82 loss per share for the 6 months ended June 30, 2024. Within today's press release, we have provided a reconciliation of our non-GAAP metrics to the most comparable GAAP metric. For the second quarter of 2025, the reconciliation includes adjustments for intangible asset amortization of $1.3 million, stock compensation expense of $1.1 million, a goodwill impairment of $11.1 million, executive transition costs of $78,000, depreciation expense of $73,000, nominal changes to fair value of warrants, partially offset by the ViewSpot sale of $1.3 million. For the year-to-date period, the non-GAAP reconciliation includes adjustments for intangible asset amortization of $2.6 million, stock compensation expense of $2.2 million, goodwill impairment of $11.1 million, executive transition costs of $78,000, depreciation of $146,000, changes to fair value of warrants of $103,000, partially offset by the ViewSpot sale of $1.3 million. Due to our cumulative net losses over the past few years, our GAAP tax expense is primarily due to certain state and foreign income taxes. For non-GAAP purposes, we utilize a 0% tax rate for the second quarter of 2025 and 2024. The resulting non-GAAP tax expense reflects the actual income taxes expense during each period. From a balance sheet perspective, we reported $1.4 million of cash and cash equivalents as of June 30, 2025. And as previously mentioned, we completed the follow-on transaction, resulting in proceeds of approximately $1.5 million before fees and expenses. This concludes my financial review. Now back to you, Bill.
William W. Smith: Thanks, Tim. And again, welcome back. We remain focused on the expansion of our portfolio with significant upgrades and features for the SafePath platform, especially delivering the next-generation AI-enabled SafePath 8. This has been a major undertaking, and I'm very pleased with our progress. We also continue to push forward with extensive discussions across the board with our mobile operator partners as well as with new prospects with a keen focus on our SafePath OS for kids and senior phones. As previously discussed, SafePath OS for kids phone opens a significant new market opportunity, fully aligned with our carrier partners' long-term strategies in family safety. This solution expands our competitive reach beyond today's subscription app model, positioning us for far greater growth. Designed through extensive research, our SafePath OS gives families peace of mind with online protection and delivers flexible options to meet each family's unique needs and preferences. As we announced earlier today, we have further enhanced our SafePath OS for kids phone offering based on feedback and made 2 marquee updates. First, we have enhanced our no inventory required capability. After the point-of-sale integration, we can configure the device with SafePath OS automatically. This helps carrier partners as they do not have to carry and manage separate inventory. Second, SafePath OS-powered phones can now work with the default configuration right out of the box, eliminating the need for parents to do any configuration. Parents can change default settings at any time if they want, but it is optional and not a requirement. We know families all share the same goal, keeping kids safe. But our experience as well as our research validates that not all parents approach parental control the same. SafePath is designed to meet these varied needs with a flexible AI-driven platform. For parents who want a more hands-on customized experience, our free parent app on Android and iOS provides complete control and customization from safety zones and alerts to managing screen time, all with the flexibility to adapt as children grow. Those parents who want to benefit from a simple setup with expert-guided age-based settings for their kids will find our AI-powered dynamic age awareness engine makes setup easy. They simply enter the child's age and SafePath automatically applies expert recommended protections, which can be adjusted at any time. And for parents who prefer a set it and forget it approach, SafePath works right out of the box, quietly handling safety and monitoring in the background. What's more, there is no need for these parents to add the parent app to their phone. The dynamic age awareness engine will automatically add expanded privileges as the child ages. With each of these 3 tailored experiences, SafePath ensures every parent can confidently protect their child in a way that fits their lifestyle. This journey has only begun. However, we continue to challenge ourselves to adapt and grow with families throughout a longer life cycle. Our mission continues with SafePath 8 launching later this month, which will introduce a wave of powerful AI solutions, empowering parents with smarter, more intuitive tools designed to bring intelligent safety to every family. These new upgrades will include social media intelligence, a feature that will help parents monitor and manage their child's activity on social platforms. This feature is powered by advanced AI, which both identify potential concerns and notify the parent of the activity, so they can react quickly with the goal of keeping their kids safe. Beyond this month's upcoming launch, our road map includes additional intelligent features. For example, we will also roll out our new AI blocking functionality that will restrict the ability to use chatbots and other AI capabilities on the child's device. With the explosive growth of AI around the world, we believe this will be an important tool for parents as they manage the safety of their kids. Lastly, we expect to introduce an AI assistant that leverages large language models and SafePath data to let parents query online activity and location and receive activity summaries. This tool can expand in several different data sets. The next big milestone for the company will be the launch of SafePath OS for seniors using the same base technology but with a different feature set that better fits the senior market. We see this as a great opportunity for our carrier partners in what we see as an underserved market today. We are working to support the launch of this first shippable version of SafePath OS for seniors by the end of this quarter. We see a lot of different opportunities ahead within a broad ecosystem of solutions for the family safety market. Now let me provide a quick update on our current customers. We're excited about the continued rollout of our SafePath kids solution with Orange Spain, which supports the TuYo rate plan. We've been working closely with the Orange Spain team on the next wave of marketing initiatives, which are strategically aligned with the upcoming back-to-school season. In parallel, we are developing the next phase of the product set to launch later this year, which will introduce enhanced functionality. We believe these enhancements will be well received by the market. As I mentioned on our last call, we're also actively engaged in several promising conversations across other Orange properties throughout Europe. Orange Spain has been helpful in facilitating introductions and promoting both Smith Micro and the TuYo offering, helping us to expand our footprint within the Orange family of operators, which has also caught the attention of Orange's competitors and is creating more opportunity for our products. With AT&T, we're continuing to work on several new marketing initiatives, many of which are tied to new product updates, which will expand Secure Family's market reach, enable larger scale marketing activities and drive greater awareness of the application. AT&T has increased its marketing efforts through new cross-promotion activities with other value-added services across AT&T, which is very promising. We will, of course, keep you up to date as we anticipate positive results coming to fruition soon. Our relationship with the AT&T teams has never been stronger, and we are engaged with various parts of the organization. Looking at Boost overall, I am pleased with the progress we are making on new opportunities with our expanded SafePath solutions. There are also several new marketing activities underway with Visual Voicemail as well as some new functionality in the app that we believe will help bring new subscribers to the platform. I remain excited with T-Mobile and the continued discussion around the expansion of the SafePath platform. We have recently seen some new additions to our working group who are very interested and engaged in our full solution. As our relationships broaden across the organization, we see strong interest, particularly with SafePath 8 and its new functionality as well as with the expanded SafePath OS designed for kids and senior phone solutions. I remain bullish and excited about the opportunities ahead with T-Mobile. I am very pleased with the momentum building in the market. The next generation of our solution in SafePath 8 is opening many channels for us to tackle as we broaden our reach across carrier partners as well as our prospects. Our Connected Life vision of the family digital lifestyle is stronger than ever, offering customers a full SafePath ecosystem that spans all the digital family safety solutions, and this is only available from one company, Smith Micro. I believe it is the most unique and powerful offering in the world today and remain as confident as ever in the opportunity ahead. Additionally, we are excited about launching a new feature, as Tim mentioned, with a current customer, resulting in our increased confidence to achieve sequential quarterly revenue growth, not only this quarter, but in the fourth quarter as well. We believe we are embarking on a reversal of the prior trend of decline to a new trend of consistent growth and expansion. With that, let me turn it back over to the operator for any questions. Operator?
Operator: [Operator Instructions]
Charles B. Messman: Thanks, Mike. While Mike assembles the queue for questions, I wanted to take a moment to provide an overview of some filings we're going to be making over the next couple of days. First, we'll be filing 2 routine Form S8 filings for the shares that our stockholders approved to be added to our equity and employee stock purchase plans at this year's annual meeting that happened in June. We'll also file a Form S-1 registration statement for the warrant shares associated with the follow-on offering that we completed and announced in July. Our Form 10-Q for the quarter will then follow after these filings. We hope this explanation helps to provide context as these filings are made over the next couple of days. I'll now kick the call back over to Mike to start the Q&A process.
Operator: Thank you. Your first question comes from Matthew Harrigan with Benchmark.
Matthew Joseph Harrigan: Given the considerable TAM for the family safety market, literally even for the individual MNOs in the context of your market cap, both in U.S. and Europe, can you comment on any change in the size of that market you sense? And given the size of the opportunity, what are you seeing in terms of in-house development at the MNOs, Verizon and smaller competitors because, I mean, clearly, you've got a great opportunity, but it feels like the competition isn't as visible maybe as one would expect it to be.
William W. Smith: Matt, that's a great question. So let me start it this way by saying that -- we have watched the MNOs all launched their 5G offerings, and they have been very focused on that. They followed with satellite offerings, and now they're looking for other opportunities to expand the size of their sub base. One of the best subs that a carrier can attract is a family sub. And that has been proven over and over the years. They churn less and typically are willing to spend added funds. That said, we think the family safety market is entering a new time of relevance where we can see the opportunity for growth for Family Safety as carriers want to reach out to this family market in general. That said, we think we've pushed the envelope. We are leading now with new offerings in the AI side of the business. We are, without a doubt, leading the way for how carriers can launch both kids' phones and now by the end of the quarter, we'll be able to start talking about launching senior phones. We think that is a huge untapped market. Many carriers have told us they actually believe the senior market could be even larger than the kids market. And that's not demeaning to the kids market. That's just saying how big they think the senior market could be. All that said says that we think we are entering a period of renewed growth. We've had some difficult years, but I think we have a clear vision as to how to lead ourselves back to the relevance that we have always enjoyed over our history. So that said, hopefully, that answered your question, come back if it didn't.
Operator: [Operator Instructions] Seeing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Charles Messman for any closing remarks.
Charles B. Messman: Thanks, everybody, for joining us today. I know today is a very busy day with conference calls, and we appreciate you taking the time on the day for us. If you have any further questions, please feel free to reach out to us directly and look forward to speaking to you on our third quarter call. Thanks, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.